Operator: Greetings, and welcome to the RumbleON Third Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this call is being recorded.  Now, I would like to turn the call over to Dylan Solomon, Investor Relations. Mr. Solomon, you may begin.
Dylan Solomon: Thank you, operator. Good morning, ladies and gentlemen. Thank you for joining us on this conference call to discuss RumbleON's third quarter 2020 financial results. Joining me on the call today are Marshall Chesrown, Chairman and Chief Executive Officer; and Steve Berrard, Chief Financial Officer. Full details of our results and additional management commentary are available in our earnings release, which can be found on the Investor Relations section of the website at investors.rumbleon.com. Please note that this call will be simultaneously webcast on the Investor Relations section of the company’s corporate website. This conference call is the property of RumbleON and any taping or other reproduction is expressly prohibited without prior written consent. Before we start, I would like to remind you that the following discussion contains forward-looking statements, including, but not limited to RumbleON's market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in RumbleON’s periodic SEC filings. The forward-looking statements and risks in this conference call, including responses to your questions are based on current expectations as of today, and RumbleON assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. Also the following discussion may contain non-GAAP financial measures. For a reconciliation of these non-GAAP financial measures, please see our earnings release. Now, I will turn the call over to Marshall. Marshall?
Marshall Chesrown: Good morning, everyone. Thank you for joining our call today. Q3 was a record breaking quarter for RumbleON. Gross margin reached 14.3% and gross profit per vehicle sold grew to over 3,400, up 255% year-over-year. In Q3 of last year we set the objective of achieving an EBITDA positive quarter in 2020, and one year later we generated $4.7 million in adjusted EBITDA. The sharp resurgence in consumer demand combined with limited new vehicles and showrooms continued to cause supply chain imbalances in all pre-owned vehicle segment. We are still below the monthly unit volumes experience before the COVID pandemic. However, this pricing and demand environment contributed to the acceleration of gross profits improvement. RumbleON has had an incredible year thus far operationally and financially. And I'm very pleased to report that given the unique challenges presented to the company and the economy during 2020, our strategy is working. In 2019, we demonstrated our ability to scale revenue. In 2020, we are demonstrating we can achieve profitability, and we look forward to demonstrating our ability to scale profitably in 2021 and beyond. Another objective outlined in 2019 was to reach adjusted EBITDA profitability on a full year basis in 2021. And we believe we have the right strategy in place to reach that goal. In August, we released the newest generation of RumbleON, RumbleON 3.0, with over 18,000 powersports listings available at launch. Since then, we have gained incredible ground. Today, less than three months later, we have more than doubled that with more than 37,000 total listings available on rumbleon.com. We believe we have only scratched the surface of opportunity and see a potential of more than 10 times that number at scale. As of today, we work with powersports dealers in over 200 locations across 36 states and have an unlimited market opportunity in front of us. RumbleON 3.0 is bringing traditional brick and mortar powersports dealers across the country online. Many do not have the ability to support a 100% online transaction efficiently, and certainly not with the technological sophistication and automation that powers RumbleON, but 3.0 unlocks this opportunity for powersports dealers. With 3.0, dealers will receive more high-quality leads and access to more transactional services than ever before. All of this will allow RumbleON to participate in thousands of online transactions in the future. We are focused on growing our dealer customer base and proving the value of our model. We are just a few months in and already seeing strong engagement from these dealers in positive reception from the end consumer. As we look ahead, there are several ways we can monetize rumbleon.com 3.0, listing fees, acquisition fees, distribution fees, logistics and transportation, backend technology and support advertising, and much more. We will methodically tap into these opportunities over time, which will provide incremental benefits to our total margin profile in 2021 and beyond. We are in the early innings today and are encouraged by the traction we are seeing. Our 3.0 offering has been enthusiastically received by dealers. Dealers have been especially excited about our new B2B dealer-only weekly online auctions, which we rolled out just three weeks ago. This method of redistribution is more beneficial for both RumbleON and the dealers and decreases vehicle time to sale. We continue to clearly demonstrate our ability to sell inventory directly to dealers and move it from the source directly to the end of seller efficiently and cost effectively. As we develop a more critical mass of inventory and expand dealer enrollment, we believe we can hold daily online dealer auctions with our proprietary technology in an extremely efficient and cost effective manner for buyers and sellers alike. Remember that our opportunity isn't limited to powersports. RumbleON's technology is built to transact on anything with events and as part of the newest generation of rumble on.com, we recently added boats and personal watercraft listings. We already have nearly 500 listings available today and many more in the pipeline as we bring both specific dealers on board. We also began testing RV listings in Q3, as a further potential opportunity or expansion in 2021. In July, we announced a pilot program with CarGurus where CarGurus would exclusively leverage RumbleON's technology and our transportation and distribution services to test the new inventory acquisition product that enables dealers to source consumers, cars and trucks on the CarGurus' platform. The scope of the pilot program has now expanded to include dealer-to-dealer transactions and more tests are currently underway. We are constantly strategizing with their world-class team and hope to talk about some industry first that come of this partnership in the future. We continue to view strategic relationships as a valuable opportunity for RumbleON. In addition to the CarGurus' pilot, we remain in active discussions with many different groups who we believe will benefit from leveraging the RumbleON technology platform and redistribution capability. These are all incremental opportunities that we will use to our advantage over time.  Although, powersports remains our focus as we test and rollout new initiatives, we fully intend to become a major competitor in other segments, whether that be boats, RVs, plastic cars, exotic automobiles, and much more. We're also seeing positive indications that our branded initiatives are paying off. One interesting demand opportunity that we're pursuing is lifestyle vehicles. We think of this as the Jeep Wrangler, the Corvette, the Harley, or the boat and RV that you might want, not the Corolla or scooter that you might need. We believe that there is a massive opportunity to not just be a market leader in this space, but we believe we can be the dominant participant in how these types of vehicles are bought, sold, traded, and financed going forward. Due to continued macro uncertainty, we are not providing Q4 guidance at this time, but I do want to provide some additional color on what we're seeing thus far in the fourth quarter. Demand has remained strong and similar to what we experienced in the last couple of quarters. However, inventory in the historically seasonally low volume fourth quarter is tight across the market. Thus, supply remains under significant pressure. We don't believe that the levels of gross margin we saw in Q2 and Q3 are sustainable over the long-term. We continue to expect vehicle margins will stabilize as supply and demand dynamics normalized, which we expect will happen in early 2021. However, our long-term total gross profit expectations are all very positive, with the addition of multiple incremental gross margin opportunities to discuss. In the near-term, we expect the growth of our B2B auction platform will unlock meaningful opportunities for monetization and margin expansion. Q4 is a perfect time to ramp inventory for powersports in expectation of the normal spring market that was disrupted in 2020 in a big way by the tornado that struck Nashville on March 3 and a subsequent shelter-at-home orders due to the spread of the pandemic. Based on the size of our inventory and the supporting data we've accumulated throughout the year, we were set to have a record quarter. And although, some of that spring market was later realized late in Q2 and beyond, we believe next year we'll be back to more normal seasonal trends expectations. Seasonality in the auto business has been very predictable and consistent year-over-year. And while powersports seasonality has been more pronounced, our data advantage has made it more predictable. We will continue to execute on our strategy of taking advantage of acquisition opportunities in Q4 in anticipation of the seasonally strong spring months. I'm impressed by the RumbleON team's ability to deliver amid the macro uncertainty over the past nine months. Despite this volatile market, our team has worked through solutions quickly and with precise execution to deliver strong results, positioning RumbleON as a much stronger company. Yes, COVID-19 has caused significant and unprecedented disruption of its own, but it's also created certain tailwinds. We feel these market conditions have allowed us to be laser-focused on optimizing our operations and make the adjustments necessary to continue building a world-class brand that delivers the best consumer and dealer experiences and all while making significant strides on our march towards achieving sustainable profitability, as we further execute the plan. And with that, I'll turn it over to Steve.
Steve Berrard: Thank you, Marshall. Our results are detailed in the press release we issued this morning. So, I'll address some of the key metrics and the progress we've made towards achieving our profitability targets. Additional supplemental information is available in our third quarter Form 10 Q. While we are experiencing the same COVID-19 related headwind experienced across the broader industry, we have been quick to adapt and have used the market trends to our advantage. Well before the onset of the pandemic, we made the decision to rationalize expenses, as we accelerated towards profitability. We've taken a disciplined approach to vehicle acquisition and related sales volume, while adding supplemental revenue streams. As a result of these factors, we have achieved our first net income and adjusted EBITDA positive quarter in Q3 of 2020, which was an objective we set forth in 2019. In the third quarter, we sold 4,263 vehicles, generating revenue of $117.3 million as compared to 10,894 vehicles that generated revenue of $220.3 million for Q3 of 2019. We sold 747 powersport units in Q3, generating $7.3 million of revenue as compared to 3,623 units for $27.1 million of revenue in Q3 of 2019. We sold 3,516 automotive units, generating $99.3 million of revenue compared to 7,271 units for revenue of $187.1 million in Q3 of 2019. Transportation and vehicle logistics revenue for Q3 improved to $10.4 million on the delivery of 21,238 units compared to revenue of $6.1 million on the delivery of 20,008 units in the same period of 2019. The decrease in vehicle unit sales and revenue is compared to the same period in 2019 resulted from the adverse impact of COVID-19 pandemic on commercial activity, which resulted in lower levels of inventory available for purchase, causing lower unit sales, but higher average selling prices and gross margins due to the supply and demand imbalance. A reduction in automotive unit sales resulting from the significant damage to the company's operating facilities and inventory held for sale in Nashville as a result of the March, 2020 tornado, our continued disciplined approach to sales volume and market growth, as we took prescriptive steps to accelerate profitability and the impact of lower marketing spend since COVID-19, as we continue to refine our approach to marketing. During the three months ended September 30, 2020, our average selling price increased as industry-wide market prices remained high. The effect of these higher market prices resulted in lower levels of inventory available to purchase for resale causing decline and unit sales beginning in September as compared to July and August. We believe the supply/demand imbalance will continue to impact seasonally adjusted fourth quarter volume, particularly given the worldwide rise in COVID-19 cases. In Q3, total gross margin was 14.3% or $3,411 per vehicle versus 5.5% or $961 per vehicle for the same period of 2019. Powersports gross margin in Q3 were 23.2% or $2,271 per vehicle versus 10.7% or $801 per vehicle in Q3 of 2019. Automotive gross margins were 12.9% or $3,662 per vehicle versus 4% or $1,040 per vehicle in Q3 of 2019. Transportation and vehicle logistics gross margin was 18.1% or $97 for each vehicles delivered versus 20.8% or $85 per vehicle delivered in the same period of 2019. The Q3 gross margin and gross profit for vehicle distribution business were the highest in the company's history and dividend part by particularly strong gross margins for sales the dealers reducing our inventory levels early in the pandemic, our strategy to acquire high margin inventory and the benefits continued supply constraints of new inventory, as demand improved while OEMs were still operating at limited capacity. However, as Marshall discussed, while these dynamics are beneficial in the near-term, we don't believe the impact from improved valuation are sustainable over the long-term. We expect vehicle margins to stabilize at demand level and inventory acquisition opportunities rise, although, we expect to continue to make improvements in margins over previous levels. The increase in vehicle transportation and vehicle logistics revenue and reduction in gross margin was a result of an increase in commercial activity during the quarter compared to the same period of 2019, resulting in a greater demand for transportation services as sales channels, marketing activities and supply chain progress towards normalized activity levels. But the greater demand resulted in a significant increase in market rates charged by transporters contracted by the company for vehicle delivery. Total SG&A on the quarter was $13.3 million as compared to $19 million for the same period of 2019. We have chosen to remain conservative in our approach and operate a level of reduced discretionary growth expenditures, as the impact of COVID-19 abates over time and unit acquisition and sales return or exceed levels experienced earlier in 2020, we'll take a measured approach to resuming investment inventory, headcount and marketing to support the growth of the business. Operating margins in the quarter were positive 2.5% compared to negative 3.4% in the same period of 2019. Net income was $1.5 million or 1.3% of revenue versus a net loss of $8.9 million in the same period of 2019. Basic and fully diluted earnings per share was $0.67 as compared to a $7.66 loss per share in Q3 of 2019. Q3 also marked the first quarter of positive adjusted EBITDA by the company. In the quarter, adjusted EBITDA was $4.7 million compared to a loss of $4.8 million in Q3 of 2019. Given the uncertainty of the ongoing impact and unprecedented conditions surrounding the pandemic that we mentioned earlier, we can not predict the overall effect to RumbleON, our customers, our regional business partners and others that we work with. As a result, we will continue to withhold formal guidance that don't get better understand the impact of these dynamics and better gauge market conditions. We've made great progress towards our profitability and operational goals in Q3, as we have maintained our commitment to achieving sustained profitability. We achieved record margins and adjusted EBITDA, as we maintained our commitment towards cost rationalization. While there are still many unknowns in the market causing uncertainty in the near-term, we remain committed to our long-term financial objectives to achieve sustainable profits and positive cash flows. Now, we'll open up the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ron Josey from JMP Securities. Your line is now open.
Ron Josey: Great. Thanks for taking the question. I have a few, so enable -- do one at a time if that's okay. Marshall and Steve, you had good commentary around inventory. And I think you said September had lower sales in July and August. Do basically the inventory availability and ASPs, and although demand was better. Can you just talk about how you view these 4Q quarterly trends going forward? Why do you think these trends can reverse? And when, I think you mentioned in 1Q 2021, but just want to understand a little bit more why these trends might reverse here in 1Q and what would lead them to reverse. And I have a few more.
Marshall Chesrown: Okay. In respect, Ron, to inventory going forward, we are seeing trends of more normalized availability. And as you and I talked about before, a lot of what we watch is, activity in auction lanes across the country to see what the dealer appetite is. I think a lot of dealers have ramped their inventory. I think, the biggest thing that has really affected the inventory availability really was the period of time it's taken for dealers to get back a new vehicle inventory. So, they were replacing those sales with a pre-owned and there was quite a feeding frenzy out there for quite some time. So, as those inventories normalized, some manufacturers have are a little more caught up than others. But as those normalized throughout the quarter, we start to see more trade-ins being available so on and so forth. So, again, I -- it seems like both from the consumer perspective, our cash offers continue to ramp through October. They basically kind of flattened through third quarter, but they're growing fairly rapidly on a daily basis now without any more marketing spend. So that tells you that it's just purely organic growth. So, we do see some -- we again -- as Steve mentioned, I mean, we are operating you can just tell from our margins, you take powersports as an example. I mean, we are operating more conservatively and we are working towards a better gross margin profile. I think by us selling a lot of the inventory pre-option direct to dealers has had a major effect on that gross margin as well. So, we're going to continue to march down that.
Ron Josey: Got it. And to that end, with RumbleON 3.0, I think it was launching in August, and now there's 37,000, 38,000 units on the note on the -- on the site. Just can you talk, Marshall, just about how your relationship with dealers have evolved, early feedback from 3.0 and really what -- to your point, what the team is doing here to drive awareness of all this inventory, especially as you ramp, call it, the cash offers from a consumer perspective. So, just Rumble 3.0 update, dealer relationships and how it all -- how you able to sort of drive demand to the site.
Marshall Chesrown: Well, I think, dealers would, obviously, want to see more and more activity and more and more leads, obviously more and more inventory availability and more content on the site will help. We have not supported it with additional marketing at this point. And the reason for that is, we had gone through now short -- it's only been just shortly like over two months and some of the challenges I shared last quarter about the integration of these dealers, because there isn't like -- there isn't an AutoNation or a Sonic in the space where you're integrating a large group of dealers that are all on the same management systems and so forth. This is everything from integrating somebody that's on QuickBooks all the way through possibly a CDK or something such as that. So, the integration, it was expected. There's -- it hasn't been any surprises, but it is a little bit more time consuming on the powersports side than it certainly would be on the automotive side. So, I think that we're happy with the growth. We have a lot more in the Q that then have been adjusted. I mean, when you start talking about an API feed, as an example to some of these dealers, I mean, they really don't even know what an API feed is. They don't have anybody on their team that can help associate that. So, we're building all those APIs and all those types of things. So, we think that the appetite is huge. We've had nobody say I'm not interested. And I think as I mentioned in my remarks, this -- we just finished a third week. We have our fourth sale today. And the capture rates in our online auction platform have been really, really strong. And we already have a lot of the dealers asking, when are they going to be able to post their vehicles for sale on our site, which is coming very, very soon. So, those -- at presently the only thing that we're selling on that a B2B platform is our own because we want to make sure we could really control the customer experience. So, lots coming down the road. I think we will start to ramp. We kind of have some target numbers. We think we can get to 100,000 fairly quickly on the listing side. And once we have those revenues and gross margin coming in from the B2B and from some other opportunities, we'll start rolling that into marketing and start pushing major visitors to the website.
Ron Josey: Got it. That's helpful. And lots to think about with CarGurus and daily auctions and boats. And maybe I'll just -- my last question to Steve on a profitability side. You talked about reaching full year EBITDA 2021, 3.0 is now alive. Just how do you get there with all these investments that are going on? And I get you have heightened ASPs and better gross profits. So, I think you said that likely doesn't last because demands applying balance. So, can you just talk about profitability in 2021, the confidence into -- in getting that EBITDA? And then on top of that just the cash balance, any update on the insurance settlement? Thanks, guys. 
Marshall Chesrown: Steve? I think your mute is on.
Steve Berrard: No, I'm here. I'm on mute.
Marshall Chesrown: There you go. Thanks.
Steve Berrard: Okay. Good morning. I think on the EBITDA side, I think you're going to watch a transition from where RumbleON is today, where we're taking risks, we're selling vehicles. We're now moving for 3.0 and becoming a fee for services, if you will. We're going to start to make a piece on a lot of transactions, you're going to watch. And it very big acceleration in margins, because basically 3.0 -- we've basically added nobody in our shop to handle the activity and the volume. The technology has been built and has been well-designed. And we're well into that. The fact that we can offer do boats and RVs and things like that. We're pretty far along with the technology curve. So, there isn't going to be a big need for capital in that respect. I think our money is going to be spent on basically marketing. But I think you're going to find that these transaction fees are going to create significant margin expansion. And I don't see there being a tremendous increase in our SG&A as a result of that. And I think what'll happen is after Q4, going into 2021, we'll give some guidance relative to how you should look at the fees and what we think the generally could relate to quarter by quarter. On the cash side, and let me do insurance real quick. We have -- still our claim out there, we are still pursuing about $13 million. And as we've disclosed in our SEC filings, we believe we're going to recover our losses. It's just a question of how much and when. But all the inventory that was damaged or totally destroyed is non-liquidated at all. So, we have nothing left. So, we've got that behind us. So, any proceeds that we would now receive, all are going to be incremental cash to us, no outlay. Cash, I guess, I'm going to deal with the elephant in the room, because it's never a day goes by where someone doesn't call and ask if we're going to do an equity raise. And I think I want to put that to bed. At the appropriate time, we may consider one. But so far we haven't given any serious consideration to it. Market conditions have allowed us to optimize the business opportunities as they've been presented to us. We focused on operational efficiencies and cost managers and our path towards getting to profitability. In regard to cash, cash amounts at the end of Q3 is higher than the balances that have been at the end of Q1, Q2, or at 12/31/2019, for that matter. We've not had a cash burn in these reflected quarters. Like I said, we're still pursuing $13 million in insurance claims. The business results have been sufficient, did not require an equity raise. I think that's been quite evident. The move in connection with 3.0, the high level of pay transaction volume that's can have strong gross profit, is going to provide a significant level of earnings and cash flow as we go forward in future quarters. The current strategic opportunity and the ongoing strategic discussions that we're having will provide some potential liquidity in a number of possible forms, none of which have been fully yet formulated, or we're not prepared to discuss. And during late October our restricted cash requirements was reduced from $5.5 million to $2 million. Thus, providing us additional liquidity. So, for the time being, obviously, we're running the business. And we've not had a great demand on the cash burn as we've been able to generate profitability. And we'll see as we -- as we add the 3.0 margin and cash flow, we're just not pressed right now to do anything, I guess that's the best way to put it. But I'll be asked every day for the next quarter. We're really starting as again next quarter.
Ron Josey: That's very helpful. Thank you, guys.
Operator: Our next question comes from the line of Rommel Dionisio from Aegis. Your line is now open.
Rommel Dionisio: Yeah. Thanks very much for taking my question. I'm not sure you talked about the boats a little bit. I'm looking at the listings here. I wonder if you could just give us a little more color in terms of your expansion plans with dealers. I see that you've got a lot of listings in Jacksonville, as well as places in Maryland. So what other reasons are you maybe having discussions with? Also, how should we think about that business over the next couple of quarters, both in terms of velocity of sales? I suppose your ability to expand relationships with additional dealers simply because I would imagine that's a pretty seasonal market, maybe not in Florida, but in other parts of the country. What if you could just give some more color on that? Thanks. 
Marshall Chesrown: Well, I will start with the seasonality. Obviously, dealers out there, market their goods 24x7, 365. So that really doesn't affect as far as the listing of their inventory. On the boat side of it, we -- what happened and we accelerated kind of our entry into the boats, because what we found is a lot of our powersports dealers also carry a personal watercraft, wave runners, jet skis, and alike. And so we -- and we already had -- the technology was already baked into our system. So, we started populating those inventories as those fees -- inventory fees were coming in by our listing dealers and have decided that it's working well. And we're also going after boat dealers starting a couple of weeks ago, actually. So, we anticipate the same type of activity that we've had on the powersports side. And we also expect some of the same complications when it comes to actually bringing all these online.  As I said earlier, I think that we've really streamlined this -- our integration. I think the fact that we've doubled it in about nine weeks is testament to the team. I think there's well over 50,000 units already in the queue, as we build these APIs, et cetera, to be able to push this inventory live in real time. One thing you don't want to do is you don't want to have listings on your site that aren't available for sale. So, there's live inventory feeds on a daily basis are really, really important. As far as the dealer participation in the off-road services, we -- some of the items that appear to be very attractive and are very -- and really interesting to dealers are things like RumbleON Finance. I mean, the ability to not only buy vehicles and sell vehicles through us, but also for financing on certain vehicles that have not been for a lot of these dealers, especially some of the smaller guys really didn't have access to consumer retail, consumer financing. And we're opening that door obviously with RumbleON Finance. So, I think the finance piece -- I think the early on, and as we said last quarter, we don't anticipate listing fees and all those kinds of things to be anything meaningful in 2020. We think that'll stuff will come online in 2021. But the one item that is clearly going to be a profit center in the near term is our B2B platform. And there seems to be a very, very large appetite in that regard. And we've been -- we've actually been very surprised with the response and also the sell-through rate of what we've been able to accomplish in just the first few weeks. So, hopefully that answers that question. 
Rommel Dionisio: Yeah. Great. Thanks very much for the color.
Operator: Mr. Chesrown, there are no further questions at this time. I will now turn the call back to you. Please continue with your presentation or closing remarks.
Marshall Chesrown: Great. Well, we sure appreciate everybody joining us this morning. And as everybody knows, you can reach out to Whitney and Dylan and team, Steve and I try to be available as much as possible for investors and investors' questions. So, again, we thank you. We look forward to Q4 and beyond, and we'll talk to you next quarter. Thank you.
Operator: That does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines.